Ryan Carhart: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to PodcastOne Fiscal Fourth Quarter 2025 Business Update and Financial Results Conference Call and Webcast. [Operator Instructions] On our call today is Kit Gray, President and Founder of PodcastOne; and myself, Ryan Carhart, Chief Financial Officer. I would like to remind you that some of the statements made on today's call are forward-looking and are based on current expectations, forecasts and assumptions that involve various risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of the company, including expected future financial results and expected future growth in the business. Actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to PodcastOne's filing with the SEC for information about factors which could cause the company's actual results to differ materially from these forward-looking statements, including those described in PodcastOne's Form 10-K for the year ended March 31, 2025, filed by the company with the SEC on July 2, 2025, and subsequent SEC filings made by the company. You will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed today in the company's earnings release, which is posted on its Investor Relations website. The company encourages you to periodically visit its Investor Relations website for important content. The following discussion, including responses to your questions, contains time-sensitive information and reflects management's view as of the date of this call, July 3, 2025. And except as required by law, the company does not undertake any obligation to update or revise this information after the date of this call. I'd like to highlight to investors that this call is being recorded. PodcastOne is making it available to investors and the media via webcast, and a replay will be available on PodcastOne's IR website in the Events section shortly following the conclusion of the call. Additionally, it is the property of the company and any redistribution, retransmission or rebroadcast of the call or the webcast in any form without the company's expressed written consent is strictly prohibited. Now I would like to turn the call over to PodcastOne's President, Kit Gray.
Kit Gray: Thank you, and welcome to our fiscal fourth quarter 2025 earnings call. As a reminder, we are not on a calendar reporting year and our fiscal year 2025 ends on March 31. Today, I will provide a brief overview of PodcastOne in the continuously growing podcast market and highlight our recent successes before passing on to Ryan for the financial results. After his comments, I will close with an update on our strategic initiatives and what we are looking forward to in the quarters to come. Lastly, we will open it up for Q&A. PodcastOne is a premier podcasting network that has played a key role in the evolution of the podcast industry since its founding in 2012. As the only pure-play publicly traded podcast company in the United States, PodcastOne provides a platform for top-tier content creators, offering comprehensive support across production, marketing, sales and distribution. Podcasting has become one of the most trusted and engaging media formats with over 4 million podcasts registered worldwide as of 2025. The industry continues to grow with advertisers projected to invest over $2.4 billion in podcast advertising this year. PodcastOne is a sales network for over 500 of the largest advertisers to reach core demographics effectively and efficiently. PodcastOne and its 206 shows are positioned at the center of this growth, capitalizing on both the increasing audience demand and the effectiveness of podcast advertising as a high ROI media channel. PodcastOne has been ranked as a top 10 U.S. podcast publisher for the sixth consecutive month by Podtrac with a monthly unique U.S. audience of 6 million and 16.9 million U.S. downloads and streams. With our industry-leading platform, we empower podcast hosts to reach their full potential by providing comprehensive world-class support. Our 360-degree marketing capabilities drive growth and exposure, enabling talent to focus on what they do best, creating great content. This support includes access to studio space, marketing, production, editing, distribution and public relations. Additionally, our experienced direct sales team leverages long- standing relationships with advertisers and brands seeking to connect with the highly engaged audiences of podcasts on our platform. In Q4, we renewed several of our highest performing legacy shows, including the Adam Carolla Show, Off the Vine, the Adam and Drew Show and the Brendan Schaub Network, further solidifying our foundation of long-standing high-engagement content. We also expanded our partnership with A&E and the history channel by adding Ancient Aliens to our roster, a key addition that blends mass appeal with Cult fandom. New original titles this quarter include Cate & Ty Break it Down and Detox Retox with Tom Schwartz, each drawing strong early audiences. We successfully began our official migration to Amazon's ART19 platform, hitting our minimum guarantee milestone in April. This migration introduces a new core monetization channel alongside our direct sales and programmatic revenue streams. Additionally, our innovative PodRoll network and PodcastOne Pro services have begun contributing meaningfully to our revenue mix. PodcastOne Pro launched with our new state-of-the-art studio in Beverly Hills has quickly become a draw for brands like Lovesac and MotorTrend. These clients rely on our infrastructure and talent to produce high-quality branded content. PodcastOne Pro offers a la carte or full 360-degree production solutions, empowering brands to harness podcasting with unmatched efficiency. We also completed a fully renovation of our Beverly Hills studio, further elevating the quality, flexibility and aesthetic appeal of our in-house production capabilities. We continue to drive value through brand integration, celebrity guest appearances and experiential events. Q4 guest highlights include Mel Robbins on both Off the Vine and I've Had It, Sebastian Maniscalco on the Adam Carolla Show and Cameron Hall on LadyGang. Speaking of LadyGang, we are proud to announce the upcoming Lady World Tour, which builds on their incredible brand equity and community. We expect this initiative to drive incremental audience growth, brand sponsorships and live event revenue in the second half of 2025. Thanks to these expanding revenue streams, ART19, Podroll, PodcastOne Pro and premium subscriptions, we saw a 20% year-over-year increase in revenue from Q4 2024 to Q4 2025. This performance reflects our continued focus on monetization, diversification and premium content. Now before going any further, I'd like to turn the call over to Ryan, our CFO, to walk through the financial results for the fiscal fourth quarter. Ryan?
Ryan Carhart: Thank you, Kit. As Kit mentioned at the beginning of the call, I want to again remind listeners that our fiscal year ends on March 31. As a review of the fiscal fourth quarter financial results, revenue in the fiscal fourth quarter of 2025 increased 20% to $14.1 million compared to $11.7 million in the same quarter a year ago. Operating loss in the fiscal fourth quarter of 2025 was $1.8 million compared to an operating loss of $1.2 million in the same quarter a year ago. This was primarily driven by higher noncash stock compensation expense. Net loss in the fiscal fourth quarter of 2025 was $1.8 million or a loss of $0.06 per basic and diluted share compared to a net loss of $1 million or $0.05 per basic and diluted share in the quarter a year ago. Adjusted EBITDA in the fiscal fourth quarter of 2025 was positive $0.9 million compared to adjusted EBITDA of positive $0.3 million in the same quarter a year ago. The change in adjusted EBITDA was primarily due to timing of content acquisition costs. We ended the fiscal fourth quarter with no debt on our balance sheet and $1.1 million in cash and cash equivalents as of March 31, 2025. As a review of the fiscal FY '25 financial results, revenue in the fiscal year of 2025 increased 20% to $52.1 million compared to $43.3 million in fiscal year 2024. Operating loss in the fiscal year of 2025 was $6.4 million compared to an operating loss of $5 million in fiscal year 2024. This was primarily driven by higher noncash stock compensation expense. Net loss in the fiscal year 2025 was $6.4 million or $0.27 per basic and diluted share compared to a net loss of $14.7 million or 68% loss per basic and diluted share in fiscal year 2024. Adjusted EBITDA in the fiscal year of 2025 was negative $0.5 million compared to adjusted EBITDA of positive $0.5 million in fiscal year 2024. As we look ahead, I'd like to also briefly touch on guidance. We are pleased with the progress this quarter. And given the revenue-generating deals that are currently in place for fiscal year 2026, along with the equity-based revenue share deals with certain podcast talent, we are comfortable raising our fiscal year 2026 guidance. We expect revenues for the full year to be between $55 million and $60 million. We are also expecting adjusted EBITDA for the full year to be between positive $3 million and $5 million. Additionally, we have completed our financing after year-end with our partners at JGB Capital, replacing our East West Bank line of credit. This will help facilitate the growth of our business, allowing us to sign new podcasts and potentially acquire podcast networks. We are poised for the future and excited about our next phase of growth. Now I'd like to turn the call back to Kit for some additional comments on the quarter and fiscal year before wrapping up with questions from the audience.
Kit Gray: Thanks, Ryan. In closing, we delivered a strong fiscal fourth calendar first quarter, achieving double-digit revenue growth, once again signifying PodcastOne's largest ever revenue result for the period. The momentum continued into the start of calendar 2025, marked by major accomplishments, including the new relationship with Amazon's ART19, the extension of flagship podcast from Adam Carolla, Brendan Schaub and Kaitlyn Bristowe as well as the expansion of Kail Lowry's award-winning slate of shows through the Killer network under PodcastOne's umbrella. PodcastOne now hosts 206 shows, having added 64 new programs in 2024 and 10 exciting new shows this last quarter alone. PodcastOne's talent roster continues to expand, supported by a debt-free balance sheet and multiple accretive growth opportunities. We are actively evaluating M&A prospects, not only to acquire top content and networks, but also to enhance our platform with production, sales and technology acquisitions that strengthen our offerings for hosts, advertisers and shareholders. PodcastOne remains the only pure-play publicly traded podcast company in the U.S. Our consistently expanding and evolving content portfolio, strategic partnerships, diversification of revenue streams and our innovative approach to audience growth and retention continues to create long-term shareholder value. Thank you for joining us. And at this time, I'd like to turn the call over to the operator for Q&A. Operator? Before we do that, I'd like to give a few minutes to our Vice Chairman, Steve Lehman. He has a tremendous background in the audio space and running publicly traded companies. Some of you have spoken with Steve or heard from him on our last investor call. Steve is not only leading our M&A initiatives, but is now heading up our Web3 crypto initiatives. I'll give it now over to Steve to give a couple of comments on what he has coming up.
Steve Lehman: Thanks, Kit. Hi, everybody. So as Kit just mentioned, I was brought into PodcastOne to look at strategic opportunities in M&A. We continue to head down that path and are looking at some interesting things for the company. That role has now been expanded to look at strategic opportunities in crypto and Web3. By way of background, I am on the Board of Valkyrie Crypto ETFs owned by Coinbase. There is, I think, an incredible opportunity for consolidation in the crypto podcast space. There are hundreds of crypto podcasts, and I think this creates a really interesting opportunity for PodcastOne to not only look at roll-up and consolidation, but to really form powerful strategic alignments. It's an opportunity for PodcastOne to become a crypto megaphone in both audio and video and to become what I see as a credible source of crypto information. This could lead to expanded opportunities in showcasing new coins, new players in the industry and other opportunities. So I think this crypto initiative, which I'm really excited about, is very timely for PodcastOne and could create a powerful new vertical within the company. Kit?
Kit Gray: Thank you, Steve. I really appreciate that exciting update. Now I can hand it over to the operator to initiate some questions.
Operator: [Operator Instructions] Our first question will come from the line of Sean McGowan with ROTH Capital.
Sean Patrick McGowan: A couple of things I wanted to ask about that you've talked about on previous calls, and I just want to see if things are kind of in line with what you'd expected. So stock-based comp up fairly meaningfully. Is this related to the initiatives that you have discussed in the past of making that a bigger component of compensation to the talent? And is this current level something we should expect? Or could it go up or down from here?
Kit Gray: Sean, thanks for the question. Yes, the answer is that's definitely part of the reason why it's gone up. And yes, it's a really exciting opportunity for our talent, something that's unique that other networks and other companies aren't able to offer, part of the reason why we're on the NASDAQ and publicly traded. We're able to offer our partners in the content space, the ability to be a part of the bigger picture, being part of PodcastOne. So we talk to hundreds and hundreds of podcasts and podcast networks and companies and stock is always a part of that conversation and will be moving forward. But it's worked out quite nicely for our initiatives and talent acquisition so far. And I think everybody is pretty happy with it, and we'll continue to do more of it.
Sean Patrick McGowan: Okay. And kind of a follow-up, maybe Ryan can chime in on this that it looks like the increase in stock-based comp was bigger in dollars than the increase in G&A. So was there a reduction in the kind of non-stock-based comp G&A? And what's going on there? And what can we expect in the future?
Ryan Carhart: Yes. Thanks for the question. The stock comp was up, I think you nailed it. G&A was up as well. I think going forward, what you saw here at the end of this year is kind of what you can expect going forward. We're always looking for efficiencies, and we're going to continue to do that. But yes, on a run rate, the OpEx that we saw coming out of Q4 is going to get reduced a bit in Q1 and then the stock comp will stay where it's at.
Sean Patrick McGowan: Okay. All right. Very helpful. Back to you. Regarding the ART19 deal, have you gotten the benefits so far that you expected? Or is there a lot more to come? And how is that whole thing going?
Kit Gray: Yes. It's been great so far. There's a ton of operational efficiencies that we've talked about in cost savings with that deal. And as we implement some of the other more efficient, better services to replace what we had in the back setup with our previous partners is being implemented as we speak. So there'll be some great cost savings throughout the year moving forward. As far as revenue generation, it's been tremendous. I mentioned in my explanation, we hit the [ NGA ] in April, which is really exciting. May, I know we are -- we definitely hit it there, too. We're right on the cusp of the next level. And I think I've explained that this is a tiered deals. So as we grow, that deal grows, right? So we're seeing more demand on our inventory. And as our inventory grows, we're seeing great fill rates, higher CPMs. When you look at our other programmatic revenue, which is really the third tier, right? So it goes our sales group, direct sales team that you know all about. And then ART19 Amazon's platform and how they monetize the inventory and then the programmatic desks that we are tied to and continue to expand upon, you'll see that going lower, and that's by design because the others 2 are picking up. So yes, it's been great so far, and we're really excited about it moving forward.
Sean Patrick McGowan: Last question, and then I'll jump back in the queue. So cost of sales as a percentage of revenue was down. I think we've talked about this maybe the last quarter being unusually high, and we would expect to see it drop down. So I was wondering if this just was what you expected. And should this level of around 89%, 90%. Is that what we should expect going forward? Or could there be further reductions?
Ryan Carhart: Yes. Thanks, Sean. I mean I think you saw Q4 improve, right? And I think you'll continue to see that improvement. So at a minimum, it will hold steady, and we hope -- and we think that it will jump up from there. So yes, we expect it to continue and hopefully even get better.
Sean Patrick McGowan: When you say jump up, you mean gross margin, like drop as a percentage of revenue, the COGS?
Ryan Carhart: Yes. Basically, our contribution margin should be improving going forward. And it should be similar or better to what was in Q4.
Operator: Our next question comes from the line of Leo Carpio with Joseph Gunner.
Leo Federico Carpio: A couple of questions. First question is regarding the advertising environment. Given the uncertainty we're having in the economy, have you seen any shift in terms of advertisers' appetite for putting ads on your network?
Kit Gray: No, we're having a good quarter. We are seeing higher CPMs, more advertisers jumping into the space, doing different things beyond just what we talked about, right? The revenue channels have diversified. So it's not just the ad spots and you're seeing higher growth on the programmatic side, the DAI side, the embedded side, live shows, social media, expansion into the campaigns, live events. So the side of our business is pretty good in the advertising world. That being said, the competition is tough. You've got a lot of these big players like iHeart and Spotify that package in radio stations and music streaming and they try to take market share on the advertising dollars out there. That's just the nature of the business. That being said, we do a heck of a job managing and working with our talent. Our talent is engaged. They are excited about doing great things for our advertisers, understanding that the competition is out there. So we've got to do great audio ads. We've got to do great video ads now and pick up our games. So we're able -- being the size of the company that we are, we're able to kind of move and strategically position ourselves with advertisers to be not only a great network of great content, but actually people that they can trust to do a great job for them and their advertisers. So everything seems pretty good. Good to hear from you, Leo, by the way.
Leo Federico Carpio: Likewise. So the follow-up question is regarding talent acquisition. What is the environment you see? Is there still good talent that's available? And can you negotiate favorable terms? Or just trying to get a sense in terms of how fast we can continue growing the shows on the platform.
Kit Gray: Yes. Like we said, I think we added 10 shows. We've got a funnel of a lot of really exciting ones that should be announced within the next week, to be honest. The talent pool is out there. There's a lot of great shows out there that may not be getting the services that they want or need. We have a great reputation out there for servicing those partners, working with them to monetize their content, not only to add to what they're doing, but get higher CPMs, higher demand on their impressions, monetize the backlog, market their shows and help them grow. So we're in a good spot to just acquire more and more shows and grow. It's interesting. The time never stops, right? And a lot of the shows maybe that we lost a year ago for whatever reason, they're starting to come around now. So we're seeing the strengths and the weaknesses of other networks, and we're able to tell our story, and I'm hopeful that we can land some of those shows as well. The great thing is our current partners are adding to it, right? And we talk about A&E and now their History Channel and adding more shows there and the Killer Network with Kail Lowry adding more shows under their network. So the people that we are working with are continuing to grow and evolve, and that's helpful as well.
Leo Federico Carpio: Okay. And then another question. On the Amazon deal you have, could you remind us what are the terms and what you need to fulfill to reach the minimum thresholds?
Kit Gray: Sure. So basically, how it works is they are giving us a minimum guarantee on a monthly basis that is basically just adjusted on the impressions that we're able to give them to sell. So we track it throughout the month, almost on a daily basis just to see if we're hitting that goal. Right now, the first threshold, if I remember correctly, is 90 million impressions. The next threshold up would be 110 million impressions. So we are very, very close to that. I'm hopeful that even the June month that we'll get there. Once -- I believe in the contract says over 3 months, I think we got to keep it at that level, that next threshold for 3 months, and then we'll get a higher minimum guarantee. That being said, they have more inventory to sell and monetize. And as their demand goes up and Amazon continues to package podcasting with all their other advertising opportunities to their clients. We're seeing higher CPMs, higher sellout rates. So everything seems really good on that front. I believe it was a 3-year deal, but we're really happy with Andy and team over at the Art19 side of things and their fantastic group of people. I believe our shows are enjoying the experience as well. It was really a seamless transition on the production side. There's a lot of great information that we're able to provide to our shows on their audience and where they're at and fill rates. And our management team and our tech team here has done a really good job identifying new companies that we're working with. We mentioned Podroll, but there's other companies now looking at ways to even become more efficient and better in terms of optimizing our inventory. So we're starting to work with some of those, and that should be great for us on the whole picture.
Leo Federico Carpio: Okay. And then the last question, can you remind -- walk us through in terms of the rationale for entering into the crypto and creating the network aiming for that market?
Kit Gray: Yes. I was actually talking to Steve this morning about this when -- and we're starting to do a bunch of calls with some really exciting people in the crypto space. And they leverage social media, blogs, podcast, YouTube channels. They're doing live shows now, virtual shows and really everything that we do, right? So we do that for our partners. And what we love about it and when you get on the call with these guys and you talk to them about it is their passion for the crypto space. And when you think about communities and passion and connection to host, I mean, that's really podcasting. So whether it's listening to a crime show or Beverly Hills Household reality star, that fan base is the same. They're connected at that same level. They're very passionate about it. So when we look at the crypto space, it's an exciting one because your high qualitative, very connected, very passionate, loyal fan base. And if we can package a bunch of those together, cross-promote, do some of the things that I just talked about in terms of offering other revenue channels and services for them where they can even create more content, I think we're in a really exciting spot to not only create a really cool podcast, podcast network that drives revenue and value, but also offers just a great place for people to come to discover that content as they dive into the ever-growing crypto space.
Steve Lehman: Yes. This is a really passionate group. And I think it opens PodcastOne up to a new slate of advertisers. For example, Bitcoin miners are advertising on crypto podcast. So this is an opportunity to not only expand into the content of a new vertical, but also opens us up to a slate of new advertisers.
Operator: Our next question is a follow-up from the line of Sean McGowan with ROTH Capital.
Sean Patrick McGowan: You touched on some of my questions already, but one sort of overarching question I have is that you grew 20% year-over-year in this quarter and you're #10, that's great. But like is the industry -- are you growing faster than the industry? Are you picking up share in measurable ways? And should we expect that growth to accelerate?
Kit Gray: Yes. I think there's 2 levels of it. We want to grow and acquire new exciting content producers and new exciting communities, but we also want to make sure that we're really taking -- maximizing our opportunities with our current inventory and our current partnerships, right? So to become profitable and do what we need to do as a company, we need to make sure the producers of the content and all the content that they have are getting those premium CPMs, those high sellout rates, those diversified revenues. So it's really 2 things, right? We want to make sure we're doing that for our current partners and growing there. But as we acquire new shows, new content providers that we put them in the right spot for them to be successful where they can have higher CPMs, higher sell-out rates, we can make them more efficient to do more content for us and grow because that's really important when we look at the margins on our deals and minimum guarantees and rev splits and all that. So we look at it 2 ways. When you compare us to the industry, look, there are companies out there, competitors that don't care about losing money and throwing money at some big shows. We're not that company. We've talked about that in the past. We do a calculated look at what the demand is out there in the marketplace, where the CPMs are, where we can get good margins, how we can make the shows better, how they fit into our network, how they work with advertisers, all of these things before we just sign a bunch of shows, right? It's -- that would be a mistake that would let down some of those shows might even let down some of our current shows, and that's not the business that we're in. So we are growing, as you know, but it's really important for us to grow on a revenue basis as well.
Operator: And that will conclude our question-and-answer session. I'll hand the call back over to Kit for any closing comments.
Kit Gray: Well, I appreciate everybody. I hope you guys all have a fantastic 4th of July weekend with your families and be safe and keep listening to those podcasts as you sit in traffic around the country. And we're really excited about the future. I think the team is just fantastic. We're in a great position. We appreciate your support, and stay tuned. You're going to hear some great things.
Operator: This will conclude today's call. Thank you all for joining. You may now disconnect.